Operator: Good morning and welcome to the Dollarama Conference Call for the Second Quarter Results of Fiscal Year 2015. Today's call will be led by Mr. Larry Rossy, Chief Executive Officer. Also, with Mr. Rossy on the phone today is, Mr. Michael Ross, Chief Financial Officer and Secretary. Furthermore, during the question period, Mr. Neil Rossy, Chief Merchandising Officer will also be available for questions. They will begin with a short presentation followed by a question-and-answer period opened exclusively to investors and financial analysts. For your convenience, the press release along with the second quarter financial statements and management's discussion and analysis are available on the Investor Relations section of the Web site at dollarama.com. They are also available on SEDAR. Before we start, I have been asked by Dollarama to read the following message regarding forward-looking statements. I would like to remind everyone that Dollarama's remarks today may contain forward-looking statements about its current and future plans, expectations and intentions, results, levels of activity, performance, goals or achievements or any other future events or developments. Several assumptions were made by Dollarama in preparing these forward-looking statements and many factors could cause actual results, levels of activity, performance, achievements, future events or developments to differ materially from those expressed or implied by the forward-looking statements. As a result, Dollarama cannot guarantee that any forward-looking statements will materialize and you are cautioned not to place undue reliance on these forward-looking statements. For additional information on such assumptions and risks, please consult the cautionary statement regarding forward-looking information contained in Dollarama's MD&A dated September 11, 2014, available at www.sedar.com. Forward-looking statements represent Dollarama's expectations as of September 11, 2014, and except as may be required by applicable securities laws, Dollarama has no intention and undertakes no obligation to update or revise any forward-looking statement whether as a result of new information, future events or otherwise. I would now like to turn the conference call over to Mr. Rossy.
Larry Rossy: Okay. Thank you, operator and good morning everyone. I am sorry, my voice is a little hoarse because we are in an allergy season and this is where I fit. This morning we reported our financial and operating results for the second quarter of fiscal year 2015. We are very pleased with these results and you can see that our customers continued to respond favorably to our merchandising strategy through increased same-store sales and our store expansion program continues to feel the growth of our business across Canada. I will let Michael provide you with the details relating to our financial results and our operating initiatives for the quarter. From my perspective, this quarter was defined by the continued organic growth through the opening of new stores across Canada as well as the continued uptake of the higher price point merchandise. In terms of new stores, we opened 89 net new stores over the past 12 months compared to 93 net new stores in the same period last year. Thereby increasing our totally store count to 917 stores compared to 828 stores at the end of Q2 last year. During the second quarter of this year we opened 18 net new stores compared to 22 in the same period last year. Given the pace of new store openings in the first half of the fiscal year, we are now on track to open 70 to 80 stores in fiscal 2015. New stores are being opened at high quality retail locations across Canada with most of the new stores located in Ontario and Western Canada, which are markets that continue to be underpenetrated with dollars stores. We continue to focus our efforts on densifying core urban centers in these markets. From a merchandising point of view, sales of $2.50 and $3 price point items continue to grow. Our customers have been responding positively to the value offered by these products. We believe that these higher price point complement the lower-priced items and provide a more value-added basket to the customer. Overall, we are very satisfied with our current price mix as it continues to stimulate sales and attract customers into our stores. Let me now turn the call over to Michael.
Michael Ross: Thank you, Larry and good morning everyone. So during the second quarter we increased our sales by 12% to $572.6 million from $511.3 million in the prior year. The increase in sales was fueled by the opening of 89 net new stores over the past 12 months and a same-store sales increase of 4.2% over and above a 6.2% increase recorded in the prior year. The same-store sales increase in Q2 consisted of a 3.1% increase in basket size which reflects that consumer demand for our higher price point items and a 1.1% increase in the number of transactions. In the second quarter, our gross margin was 36.1% of sales compared to 36.6% of sales in Q2 last year. This decrease is partly attributable to slightly lower product margins as we absorb some of the cost increases in order to maintain the compelling value of our products. As we stated earlier this year, we have been managing our gross margin by continually reinvesting in the value proposition offered to our customers. We expect this trend to continue as we target a range between 36% and 37% in fiscal 2015 in order to stimulate continued sales growth. Our Q2 SG&A as a percentage of sales was 17.1% compared to 17.9% last year. This positive progression is the result of improved labor productivity achieved through initiatives implemented at store level, including improved labor scheduling and reduction of the number of manual inventory counts. These labor productivity initiatives will help offset the impact of the 7.3% minimum wage increase in Ontario that was enacted on June 1, 2014. We expect SG&A to be between 17.1% and 17.5% for the full fiscal 2015 fiscal year. Our depreciation and amortization expense decreased by $2 million this quarter as a result of the change in estimated useful life of our leasehold improvements and our store and warehouse equipment as reported in the last quarter. Q2 net earnings increased to $68.9 million or $1.03 per diluted share compared to $59.8 million or $0.82 per diluted share in the second quarter of fiscal 2014. Cash flows from operations increased to $107 million in Q2 F '15 from $98 million in Q2 F '14. This increase reflects improvement in financial results in the quarter. As previously reported in the month of May, we modified our capital structure by issuing floating-rate senior unsecured notes in the amount of $150 million maturing in May 2017, taking advantage of low variable rate opportunities available on the bond market. The proceeds have been used to repay indebtedness outstanding under our revolving credit facility. Concurrently, with the issuance of these notes, we reduced the aggregate amount available under our revolving credit facility from $350 million-$250 million, in order to reduce standby fees payable on the unutilized portion. During the quarter we also repurchase for cancellation 1,394,040 shares under our normal course issuer bid which was renewed in June 2014 for another 12 month period for a consideration of $126.9 million at a weighted average price of $91.04 per common share. We also announced today that Dollarama's board has approved a 2-for-1 share split by way of share dividend payable on November 17, 2014. Dollarama is undertaking the share split to ensure that its common shares remain accessible to individual shareholders to increase and broaden its shareholder base and to improve market liquidity for its common shares. In terms of our productivity initiatives, we continue to leverage off the benefits of several initiatives rolled out in stores over the past year, including the reduction in the number of manual daily counts at store level as we increase our reliance on the scan data for replenishment purposes and the productivity benefits of Kronos which is used to manage time and attendance as well as advanced labor scheduling in our stores and warehouses. As mentioned in the past, Dollarama is continuously working to improve the efficiency and productivity in stores by making increased use of technology and eliminating non-value-added tasks. Overall, we are very pleased with the performance of the company this quarter and the progress made on our key initiatives that will support profitable growth in the future. This ends our formal remarks and we can now take questions. So, operator, I'll turn the call over to you.
Operator: (Operator Instructions) Our first question is from Perry Caicco with CIBC World Markets. Please go ahead.
Perry Caicco - CIBC World Markets: Traffic, same-store traffic back in positive territory. What was the dynamics behind that and does lapping a bunch of Target openings in Q3 last year. Will that have any impact on your traffic for the remainder of this year?
Michael Ross: I'm sorry, Perry, this is Michael. Could you -- I had problems hearing you.
Perry Caicco - CIBC World Markets: Okay. So just a question about the same-store store. It's back in positive territory. Just what were the dynamics behind that? And would you expect for same-store traffic for the next couple of quarters since you are lapping some Target openings from last year?
Michael Ross: Right. Well, as you notice, we were able to explain clearly the traffic in Q4 and Q1 which was related to the weather conditions. So that in Q2 the weather impacts that we had back in Q4 and Q1 don't exist, didn't exist in Q2. So certainly that was a factor. But, again, it's making sure that we have got, as usual, that we got some good pickup at store level in terms of sales and that's the best we can do to explain that. It's hard to pinpoint exactly.
Perry Caicco - CIBC World Markets: Yeah. And do you have any expectations for Q3 and Q4? 
Michael Ross: Well, we are hoping certainly that that will continue. So we are doing everything we can to stimulate that. I think it's hard to say, right now we've just started Q3. So we've got some big seasons kicking in soon, Halloween and Christmas. And, again, if Mother Nature for Q4 is a bit more on our side, well, I think we should expect positive transactions.
Perry Caicco - CIBC World Markets: And what's the current state of real estate opportunities for Dollarama in Canada? And have you had to adjust your criteria over the past year to maintain your store opening pace?
Larry Rossy: Well, it's Larry, Perry. I think the opportunities are similar to what they have been, that we had to adjust. Not really, we just recognize that some of the locations that we are taking are going to cannibalize some others. Those are just a fact of life. But as far as the real estate themselves, it's available. It's available. From an expense point of view it similar to about a year ago. We have a lot of renewals now and every year we're going to have almost 50, 60, 70 renewals. And they are being renewed at, let's say, less expensive than new stores but slightly more than what they were 10 years ago, which we would expect.
Perry Caicco - CIBC World Markets: And do you feel, Larry, that you will have to make any alterations to your format or your operations as real estate opportunities change or rents increase?
Larry Rossy: Not yet, Perry. I can't predict the future. I'm no good at that. But let's put it this way, for this year and next year, the balance of this year and next year, that is not the case. If you want me to predict further into time, I can't do that.
Perry Caicco - CIBC World Markets: All right. And then just one last question if I could. The improvement in your scale over the past couple of years, has that had a material impact on your purchasing power and your cost of goods?
Larry Rossy: I would say, not. I think that, generally speaking, especially from the Orient, the size of our orders were such that whether you buy a 5000 dozen or now you're buying 10,000 dozen of an item, it's not going to improve very much at all. What it may do is, domestically make us more attractive from that point of view. They may be more willing to look at dollar stores in a more favorable light going forward. And I think that's happening in the States too. You see the big boys, the major companies like P&G and Rubbermaid, opening up a little bit more and trying to be more creative with dollar stores than they have in the past. From that point, having said that, that's just about all I can comment on that.
Operator: Thank you. Our next question is from Irene Nattel with RBC Capital Markets. Please go ahead.
Irene Nattel - RBC Capital Markets: Just if we could look for a moment at your mix in the quarter with 67% of sales from items above a dollar. That was very strong from the prior quarter and from prior year. So just wondering whether it's a seasonal issue, whether we saw significantly higher penetration? Kind of what was going on there?
Michael Ross: Okay, hello, Irene. It's Michael. If you look back, four years back, you'll see there is a similar bump in Q2 and all those years and it's four or five points if you want. So it went from 62 to 67, so that's an increase of five. You've seen the similar increase over the past four years in Q2. So it's a seasonal thing. Typically in Q1 you have Easter and Valentine and they sell more lower price point items then when you get into the next quarter.
Irene Nattel - RBC Capital Markets: That’s great. In terms of, say the item count, items priced above a dollar, that hasn't really changed much?
Michael Ross: No. The percentage -- no, it hasn't changed much, and the percentage is in sales dollars but for the rest everything remains equal, if you want.
Irene Nattel - RBC Capital Markets: That’s great. Thank you. And I guess you now had a couple of years of benefit of the items priced over $2.50 and $3 price point. As we get into the very important Q4 season, how are you guys thinking, feeling about the offer that you have this year based on the data that you have been able to have from prior years?
Larry Rossy: Well. As prior as both Halloween and Christmas, there is a marginal increase towards $2.50 and $3. Not serious at all because I personally try to keep that dollar price point, or in and around the dollars price point, whether it's a dollar or $1.25, as much as possible. So I don't think there is going to be a substantial difference in the seasonal offering of Halloween and Christmas in the price point area. We tried to maintain it as much as possible, proportionately per price point as in the past, Irene.
Irene Nattel - RBC Capital Markets: That’s great. Thank you. And one more question, if I could, and this goes to productivity initiatives. On the last call you mentioned that over the next few months you are going to be -- you are really going to be changing some of the in-store procedures, particularly around cash management, as a result of the rollout of the new POS terminals. I'm just wondering where we stand on that and whether you have been pleased with the returns that you have been getting?
Michael Ross: Okay. Yes. So from a G&A standpoint, here is the latest. We did, to tell you the truth we did a bit better than we had anticipated. As there is the annualization of the beginning of last year's initiatives, and in that sense I would say the initiatives that we had are the ones that are last initiated, continue this year and there is no real new big initiative generating the savings that we expect this year. The new initiatives, and you referred to one of them, cash management, is something that with trickle in over time. It's something that is just at its beginning stage. However, and that's why we gave you a bit more guidance, a bit more color on the G&A side for the fiscal year '15, ranging between 17.1 and 17.5. There are expenses that will be incurred in Q3 and Q4 that were not there last year and they simply relate to different initiatives that we will be working on. So you should be careful in trending what you are seeing in Q1 and Q2 for Q3 and Q4. So that's why we came out to guide you to the 17.1 to 17.5.
Operator: Thank you. Our next question is from Kenric Tyghe with Raymond James. Please go ahead.
Kenric Tyghe - Raymond James: In terms of your merchandise mix, could you just refresh us on where you are on seasonal versus consumables and general merchandise? If I recall, sort of back in time your seasonal was in the mid-teens. Is that is still a good proxy to use and could you perhaps speak to the evolution of that mix, even if you are not planning to be giving specific breakdowns.
Michael Ross: Okay. It's Michael. No major change from what was disclosed in the AIF. So 50%ish general. 13%, 14%, that range of seasonal and the balance consumables.
Kenric Tyghe - Raymond James: Great. Thanks, Michael. I just wanted to check on any changes in there. Could I then, Michael, switch to inventory productivity. Obviously, very good numbers on tough comps. You do have some FX led gross margin pressures in your inventory yield. Could you speak to what kind of runway you have left with respect to the initiatives or how you view the evolution of your productivity initiatives given some of those challenges with respect to your gross margins?
Larry Rossy: Well, as we stated in the past, the major initiative, you are all familiar with. And so those are the one that will, as we turn on the functionalities of those, more and more will continue generating benefits in the future. Now I can't speculate on, given that I don't know what the headwinds can be in the future as to where that will take us. I have given you guidance for this year. Obviously, we are working to reduce that as much as possible but that is so much that we can predict. And we do expect to have more and more initiatives in the future kicking in. So that we are definitely working on. And so for the currency, that definitely has been a strong headwind. We have decided to absorb part of that and not transfer it to the customer and that was expected and communicated to you. So we will continue to manage that balance between compellingness and return to shareholder.
Operator: Thank you. Our next question is from Peter Sklar with BMO Capital Markets. Please go ahead.
Peter Sklar - BMO Capital Markets: I just wanted if you could discuss a little bit the change in Canada's trade status with China and increase in tariffs that will be affected I believe January 2015. Do you have any estimate of what the magnitude this will impose on your cogs? And can you talk a little bit about the philosophy of the company, how you are going to approach this? Are you going to absorb this in your margin or will there be some erosion in the consumer proposition? Can you just talk a little bit about those things?
Larry Rossy: Yes. I think that we have to put it in the same basket as foreign exchange. It's an extra cost to doing business as the dollar is and we are going to handle it the same way. If the duties have increased by 3% or 4%, we are factoring it into our cost and making a decision as we would the FX. So we just can't absorb everything. It's being treated in a similar fashion. And not every category has been affected but those that are being affected, all our buyers are aware of them. And, again, it's been lumped into similar to FX.
Michael Ross: And maybe, let me just add a bit of color to that, Peter, by stating that in reality there is nothing special to signal relating to the general preferential tariffs. Otherwise it would have been -- if it would have been material, we would have disclosed more information in the MD&A. It's less significant than the currency impact. And, again, as Larry said, we are treating it the same way we have been treating for ever inflation, wage increases, currency fluctuations and so on. So I hope that helps.
Peter Sklar - BMO Capital Markets: Right. And just one other question if I may. You have talked about in the past, what you think the ultimate store count could be for Dollarama when your footprint achieves maturation in Canada. I was just wondering if there has been any change in your view and how much you could densify the store penetration in urban areas.
Michael Ross: Okay. So maybe I can begin, Larry, if you want. So our figure out there right now and I will explain how we got to that figure, it's 1200. And 1200 is our estimate with the current format we know. And hopefully the same financials or economics surrounding that. So that's our view. And we worked that with consultants. So we mapped out the whole country and that’s how we arrived at that figure. We have visibility on our current store pipeline and so we have addressed that more specifically for this year's target. So that's still the number that we are working on.
Operator: Thank you. Our next question is from Derek Dley with Canaccord Genuity. Please go ahead.
Derek Dley - Canaccord Genuity: Can you just update us on the percentage of your products now that are priced at those higher price point levels? For example, the percentage of products priced about two dollars?
Larry Rossy: Yes, we don't disclose that. I'm sorry, Derek.
Derek Dley - Canaccord Genuity: Okay. Maybe if I ask it another way. Are you guys comfortable with your current range of price points and is there room to manage some of the increase in costs?
Michael Ross: Yes. I mean to by fully clear, it's business as usual. We haven't changed our approach. You have seen consistently the penetration rate going, in terms of sales dollars, going up. Especially in Q2 and then it kind of stabilizes for a few quarters and then kicks back up. So as of now there is nothing different that we have done internally.
Larry Rossy: And I would back Michael up on that. I think we're happy at the price ranges that we are in, at the mix we are in. And we will stay with that mix of prices as long as we can. To predict the future, again, I can't do that. And am I happy to answer your question directly with our price mix today, I think the answer would be yes.
Operator: Thank you. Our next question is from David Hartley with Credit Suisse. Please go ahead.
David Hartley - Credit Suisse: Just back to the tariffs question. So it's one more factor that when you are purchasing your buyers have to deal with. So when we are thinking about gross margins going forward all else being the same, I mean would you conceive that it is definitely a pressure?
Larry Rossy: Yes. I think the pressure of the dollar at $1.08 and $1.10 is a pressure that I would think that a onetime tariff increase is the more pressure once. And then we know where we are going after that. Bad weather is pressure, yes. Yes, I can't deny that.
Michael Ross: And as you know also, Dave, we have had time to see that coming and so there is definitely, there has been sufficient time to deal with that question beforehand. But as Larry said, also, it's going to be a onetime pickup and then we would continue.
David Hartley - Credit Suisse: Is there any more color you can give us in terms of the percentage of your sales or unit sales or something that will be affected by this?
Michael Ross: It's not material. Otherwise, as I said, we would have. If there would be something special surrounding that, we would have disclosed it in the MD&A.
David Hartley - Credit Suisse: Okay. I guess that's the bottom line, it's not material. Just wanted to look further afield, I know you are comfortable with the range of price points you have now. What about other categories that you may not be in today, that might be a bit of a step out from what you currently offer. Have you given more thought to that? Are there initiatives potentially in place that you might want to pilot or categories you might want to pilot in your stores? Could you talk a little bit about the future in terms of your offer?
Larry Rossy: For me, the future is the present. And in terms of --I am very happy with our offering today. You have seen so many American dollar stores go to consumables, more consumables. That's basically we can't get into pharmaceuticals here and we can't become a Canadian Tire. So I guess you can go to consumables, we are not interested in doing that. I think the grocery industry here is very mature and very competitive. I think the offering that we have today and the categories we have, are exactly what the customers expect and we don't want to transition our store into a grocery store, absolutely not. Because we like the margins we are making and not favorable to the margins of the grocery industry if we keep going that way, which is not our intention. So I think that by just tweaking whether the craft department is strong from one year to the other. Whether the demand is strong for craft as it is from one year to the other, then we can increase another department by 5% to 10%, decrease craft by 5% to 10% but work within the departments we have. I think that answers your question.
David Hartley - Credit Suisse: It does. Thank you. And just last one if I may. Just on the competitive front. Could you talk a little bit about the competitive environment and maybe how it's changed? And also maybe, again, looking into the future, when if, or if do you see a need to perhaps become promotional at advertising or some kind of marketing to drive increased traffic.
Michael Ross: Maybe if I could start, Larry, jump in. So we anticipate that competition as has been in the past year, will continue increasing. So that's why we're constantly reviewing our processes and trying to get the more and more efficient and investing into the products. And so, and right now, so it's business as usual on that side. We don't see any structural competitive change, major change. Bat definitely, as we have stated in the past, we compete against all the other retailers out there. We don't sell anything unique. Everything we sell, someone else sells too. So it's a matter making sure we have got the most compelling value out there.
Larry Rossy: I think Michael has it there.
David Hartley - Credit Suisse: And on the advertising market in front, I mean it seems inconceivable today but is that something that you think about, look at, contemplate to help bolster sales at some point in the future.
Michael Ross: Well, no, that's not something right now. I mean, obviously the future, it depends where you are in the future, but for the time being we are sticking to what we are doing right now.
Larry Rossy: And I would agree with that. I don't see it in the future. I, again, don't want to predict the future but I don't see it in the near future and at all, David. Not at all.
Operator: Thank you. Our next question is from Jim Durran with Barclays. Please go ahead.
Jim Durran - Barclays: Just wanted to get back to the store network opportunity. You mentioned 1200 stores but on sort of existing template. I know you have been trying to smaller stores. Where you are at with the smaller stores? Have you grown in there, being happy with the performance of those? Or, where else would you think you might at some point in time start to think about testing different formats as we get closer to the 1200 number.
Larry Rossy: Yes, I think that the smaller store idea comes from the fact that we are trying to get into more metropolitan areas, Toronto, Montréal and Vancouver period, maybe Winnipeg. And because those areas are not covered by dollar stores, they present opportunities and you can't find 10,000-12,000 foot stores there. You are going to find, maybe, 5,000, 6,000, 7,000 foot box and you usually will find that with the basement. So we are taking advantage of those opportunities. We rent the ground level at a price and they throw in the basement, obviously, most of the time, I don't want to give anybody any ideas. So it's not because we're trying to change and try a new format called smaller stores. It's because the opportunities don’t exist in those particular areas. The smaller store format may be out there. It's not something we have to think about today or in the near future again. But I don’t know if that -- how do you say that in English -- profitable as the format we have today and if anything. So my answer is, right now I am happy where we are and I don't know what's going to happen in five years.
Jim Durran - Barclays: Nor do we.
Larry Rossy: I know that.
Jim Durran - Barclays: I wanted to double back on something you said and make sure I heard you correctly with respect to consumables. Do continue to see consumables as just a category that modestly grow as opposed to taking a different view of consumables and going at it more aggressively?
Larry Rossy: I don’t even want to say that we would modestly grow it. We're going to try and keep the proportions in our store as they are today. Again, if craft sells less, we will move somewhere else. And would it be to consumables, maybe, but there is no design to that. It's whatever it seems to be in demand by the consumer. So there is no intention to increase the consumable, grocery consumable and non-consumable area in our stores. We like the mix of our offering at the moment. We see it that being the same in the future. And, again, I don't know what's going to happen in five years.
Operator: Thank you. Our next question is from Vishal Shreedhar with National Bank. Please go ahead.
Vishal Shreedhar - National Bank Financial: Just wondering if you are seeing any benefit related to your value improvement initiatives that you have going on and if it's possible to measure it or in sales or perhaps customer sat.
Larry Rossy: That’s (indiscernible). You are saying, because we are saying that we are going to watch or be conscious of our market, are we seeing more customers. It's too early to predict that. We are saying, we are sensitive to that area. We just don't want to arbitrarily mark up everything by the increase in FX and preferential tariffs, just because they are there. Eventually, we will have to catch up but we are very sensitive to that area of our business. And if we can control it as well as we have been, that would be most satisfactory. But to say it, if it had an impact, it's almost too early for that. And I'm not sure in a year if I can answer that question, but at the moment I couldn't answer that question, Vishal.
Vishal Shreedhar - National Bank Financial: Okay, got it. In terms of the 36% to 37% gross margin rate that you've given to us, just given some challenges that you've highlighted, FX, tariffs. I know you are dealing with that competitive pressures and perhaps some challenges that you might not foresee at this period of time. Is that a hard stop kind of rate that you would try to work towards? Or are there periods where if you go below that for a period of time, knowing that eventually you could work yourself out of that? Just wondering your thought on that?
Michael Ross: I think ideally we would like to stay within that range. That's what we're aiming for. And you are right, we do have all those challenges. And by the way, the tariff and the currency, we are on the same level of playing field as the others. So it's a matter of balancing that compelling value if you want. But the idea is to stay within that range.
Operator: Thank you. Our next question is from Keith Howlett with Desjardins Securities. Please go ahead.
Keith Howlett - Desjardins Securities: I was wondering if you could speak a bit about the apparel section of the stores. Is that a section that could be expanded or do you think it's about where it should be?
Larry Rossy: If anything, it would go the other way. That's a difficult, we will call it -- we will use your terminology and say section. It's difficult because there's sizes, there's colors, there's fashion. And we three in modest offerings in the last year or two. And, again, this is an area that we don't want to expand. Our fixturing is not conducive to it. And if anything, it would go the -- it would contract, it would not expand.
Keith Howlett - Desjardins Securities: And then something like the over-the-counter drugs. I'm not exactly sure what you can offer and what you can't offer but I think I've seen things like aspirin, I believe, in your store. If not your store, your competitors' store. But what are the limitations on that category?
Neil Rossy: It's Neil, Keith. Every province has its own legislation and so it's a province by province discussion as to which over-the-counter drug is allowed to be sold. But as a category, it's a very small category for us and we have no intention of growing the category. We offer a limited range of the most consumed, let's say, over-the-counter drugs and we have no intention of going it because the sales fall very far off after the top sellers.
Keith Howlett - Desjardins Securities: And then just in terms of the health and beauty assortment. You mentioned some of the brands are paying more attention to the dollar store channel. Would you see, maybe going to more national brands in your health and beauty section?
Neil Rossy: I think we will take the same approach we have always taken with national brands, which is, because they come at a lower mark up at all times, we will continue to sprinkle national brands into our imports. But at a very slow and just enough to offer a balanced mix.
Larry Rossy: Yes. No, intention of going there.
Keith Howlett - Desjardins Securities: And then I guess a bit out of the left field. Would you look at the Internet, as an internet offering?
Michael Ross: Keith, it's Michael. So this will be the last question because we still have other analysts to go, sorry. So if you could repeat that question, please.
Keith Howlett - Desjardins Securities: I was just wondering whether there is any consideration of going to the Internet?
Michael Ross: No.
Larry Rossy: I agree with Michael.
Operator: Thank you. Our next question is from Brian Morrison with TD Securities. Please go ahead.
Brian Morrison - TD Securities: I just have a very high level question at this time. You have had a couple of quarters recently where you've gotten off to a slow start recently and it's typically due to inclement weather. So I really just have two minor questions, maybe one for Neil and then one for Michael. One, was there a notable expansion in your back-to-school offering this year? And then second, Michael, I don't expect you to go into much detail, but the late August, early September timeframe seems very busy in a store and I just wonder if it's fair to say the start to this quarter might be a bit more encouraging?
Neil Rossy: So I'll answer the first question. The first question can be answered rather easily. The assortment has never changed. What we have done is we have made a bigger effort at store level and installed store operations to put a better showing of our current and everyday offering on the front ends and do a better job of merchandising it. And so it would be to the customer, a new look and a new push, although the offering didn't change whatsoever.
Brian Morrison - TD Securities: [Same store] (ph) as well.
Michael Ross: Okay. And for the second part, Brian. I can't, obviously, disclose too much but what I did say earlier is that, today Q3, nothing unusual. Weather is certainly not a factor as it was in Q4 and Q1 for Q3 at least as of today. And we are just in the beginning of the quarter. We have got Halloween coming up and we are just anxious to see how that will come out and excited by it. So that's about as much as I can tell you right now.
Operator: Thank you. And our next question is from Chris Li with Bank of America Merrill Lynch. Please go ahead.
Chris Li - Bank of America Merrill Lynch: Can you please remind us just your CapEx budget for the year?
Michael Ross: We did not disclose the CapEx number but what we did say is that the total envelop would be less than last year. Even though we are growing, the total envelop is expected to be lo lower. A big part of last year's CapEx was the deployment, the rollout of our MCR cash registers. So that was a good part of the CapEx which we don't have this year.
Chris Li - Bank of America Merrill Lynch: Okay. Great. And as you gradually grow into 1200 store count, do you have enough capacity to do that or when would you have to envision building a new DC ,if at all?
Michael Ross: Yes, absolutely. First of all, just to be clear, Montréal, it's not a capacity issue. The reason we are thinking about DC warehouse out west is for economic reasons. And as we get more and more efficient down here, it just pushes back the business case. So we have been telling you for the past four years that it's going to be in three years and that's still the case now. So nothing new and in fact it's much better that we get more efficient here and push that business case...
Larry Rossy: We hope we never have to, let's put it that way.
Chris Li - Bank of America Merrill Lynch: Okay. Great. And maybe just two more quick questions, if I can. Can you just remind us of your view on the U.S. Is it still not an attractive market for Dollarama, is that correct?
Larry Rossy: Pardon me?
Chris Li - Bank of America Merrill Lynch: The U.S. market, I am just thinking in terms of Dollar General and Family Dollar, if those--
Larry Rossy: No, no.
Michael Ross: We are focused in Canada and as you all know, we are spending a bit of energy in Central America and that's our main focus.
Chris Li - Bank of America Merrill Lynch: Okay. And then lastly just on credit card. Anything new to update us on your thoughts?
Larry Rossy: No. As the debit card penetration continues to increase, obviously, that’s the -- and it doesn’t cost us anything that we will stick to that and we will see in the future for the credit card. All right. Thank you very much everyone.
Operator: Thank you. This concludes today's conference. Please disconnect your lines at this time and we thank you for your participation.